Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to IAMGOLD Corporation's 2013 Second Quarter Financial Results Conference Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded on Tuesday, August 13, 2013, at 8:30 a.m. Eastern Standard Time. I would now like to turn the call over to Mr. Bob Tait, Vice President, Investor Relations. Please go ahead, sir.
Bob Tait: Thank you, Dan. Welcome to IAMGOLD's conference call for the second quarter of 2013. Last night, we released our financial results for the quarter, which, along with the accompanying financial statements, notes and MD&A, can be found on our website at iamgold.com. Joining me on the conference call today are Steve Letwin, President and CEO of IAMGOLD; Gord Stothart, Executive Vice President and Chief Operating Officer; Carol Banducci, Executive Vice President and Chief Financial Officer; Craig MacDougall, Senior Vice President, Exploration; and Jeff Snow, Senior Vice President and General Counsel. Our remarks today will include forward-looking statements. I refer you to the cautionary language regarding forward-looking information in our disclosure documents and advise you that the same cautionary language applies to our remarks during the call. We have prepared slides, which can be viewed via our website. And I'll now turn the call over to our President and CEO, Steve Letwin.
Stephen Joseph James Letwin: Thank you, Bob, and good morning, everyone. Well, all of you had a chance to look at our results and I'm very encouraged by what we've accomplished since we last spoke. Tumbling gold prices have put the industry in a very, very tough position, as you know. And fortunately, we act swiftly on our priorities, and this has allowed us to deal effectively with the challenges plaguing our industry. On Slide 5, you can see that we're executing on all fronts. We're making sustainable reductions to our cost structure. By the end of the second quarter, we had achieved 55% of our $100 million cost reduction target. Cash costs, including royalties for the second quarter and year-to-date, have come in at $787 an ounce. This is the second quarter in a row that total cash costs have been below the bottom of the guidance range. That's about $100 below of what we're forecasting about 8 months ago. So a lot of success, and that success we've had at delivering on our cost reduction initiatives has had a significant impact on mitigating the rising costs that come with mining an increasing proportion of hard rock, and it's given us the confidence to lower our 2013 cost guidance. You've seen this in the release. Our total cash cost guidance moves down to a range of between $790 and $840 an ounce from the previous range of $850 to $925. All-in sustaining cost guidance is lowered to a range of $1,150 to $1,250 an ounce from a range of $1,200 to $1,300. Overall, our operations are performing as expected, and we should see production trending higher in the third quarter. Westwood production, including Mouska, is ramping up and on track to producing 130,000 to 150,000 ounces for the year, and we are maintaining our production guidance at 875,000 and 950,000 ounces. On Slide 6, you see our priorities. We made it very clear what our priorities were heading into the quarter and we are seeing the results. In addition to cost reduction, we continue to focus on optimizing our existing operations and related expansions, while deferring capital projects where the rates of return would not be warranted in this gold price environment. Our dividend remains intact, and we will do what is necessary to preserve cash and a good liquidity position. We believe the tide will turn eventually, and when it does, we have no intention of abandoning these priorities. The evolution of our industry is such that this is how we must manage the business all the time. On Slide 7, our cost reduction around our new power agreement in Suriname. I can't tell you how pleased I am about the progress we've made in Suriname. Managing costs better is at the top of our list in the country. Our power costs have been one of our greatest challenges, given the transition to harder rock. And at Rosebel, we've been paying $0.20 a kilowatt hour. Late last week, we announced an agreement with the government of Suriname to reduce the power rates supporting our existing operation. This new agreement complements the joint venture agreement announced in April of this year. While the joint venture targets softer ore in areas surrounding the current mining operation, this agreement applies to our current operation and its future expansion. I'm heading down to Rosebel at the end of the month. I'm going to spend a week with the President. Our next priority is to look at those satellite deposits that are within the joint venture, and as you know, at $0.11 a kilowatt hour, are very attractive in terms of operational costs. So I'm going be to be down there looking very aggressively at how we can move that softer rock into the mill. And when we combine that with the fact that at the current mineral agreement, we're going to be paying significantly less for power. It reinvents Rosebel. It restructures Rosebel, and it makes Rosebel a much more viable entity with a lot more attractive economics. And the power agreement is an extremely important development as it will lead to this improvement in margin and extend the life of the mine. The reduced power rates under this agreement will potentially reduce costs of Rosebel in the current mineral agreement by up to $50 an ounce. As we bring in softer rock, I hope even more. The reduced power rates will be factored into the feasibility study that's been underway at Rosebel to determine the optimum expansion scenario moving forward. We expect to be able to announce the results at the end of the third quarter. Results like this can go a long way to reshaping our cost structure, and it will be initiatives like this that will continue to take priority. On Slide 8, you can see that 55% of our $100 million target has been achieved. At our operating sites, we've achieved about 40% of the $54 million target. Gord's going to highlight some examples from across our sites that moved us to this point. For exploration, we're at the $30 million mark and are well on track to meeting the $40 million target by the year end. Craig's here and he's going to talk about those details. And at the corporate level, we've achieved about 50% of our goal. So when cost cutting becomes something you talk about every day, it starts become a part of your culture. And that's what we're seeing. While we're taking advantage of opportunities to defer spending in some areas, our main focus is on realizing sustainable cost savings. On Slide 9, we talk about our disciplined capital allocation strategy. Our decision to commit capital to future expansion and development projects will depend on a number of critical factors. Project returns must meet our hurdle rates and that will depend on the price of gold at the time when we're ready to make decisions. So you cannot assume any capital spending beyond the capitalized stripping and that which is essential to maintain the current operations. Our ability to defer capital spending speaks to our liquidity position, which, at the end of June, was $1.4 billion. And with that, I'm going to turn it over to our Chief Financial Officer, Carol Banducci, for a review of our financial results.
Carol T. Banducci: Thanks, Steve, and good morning, everyone. Turning to Slide 11, revenues in the second quarter 2013 were $301 million, down from $365 million in the second quarter 2012. Falling gold prices accounted for 2/3 of the decline, or $42 million, and the average realized gold price was down $220 an ounce year-over-year. The balance of the revenue decline was due to lower gold sales. Gold sales were down mainly due to lower production at Essakane and Rosebel, and throughput and grades declined as expected. This was partly offset by a significant increase in sales from the Doyon division as production in the previous year was minimal, with the plant undergoing refurbishment. Adjusted net earnings in the second quarter were $30 million or $0.08 a share compared to $75 million or $0.20 a share in the second quarter 2012. Adjusted net earnings exclude such items as impairment of investments, write-down of receivables, gains and losses on both derivatives and foreign exchange and changes in estimates of asset retirement obligations at closed sites. Adjusted net earnings also excludes the interest expense on long-term debt. Nearly 54% of the interest on the high-yield debt was capitalized in the second quarter. Based on projected capital spend for the year, approximately 1/2 of the annual interest will be capitalized. In total, these items reduced reported earnings per share by $0.16 in the second quarter 2013. The $39 million impairment of investments in 2013 included changes for the declines in the market value of both marketable securities and equity investments. The value of marketable securities declined by $16 million, and the value of our equity investments in Galane Gold and INV Metals declined by $23 million. As in the first quarter, the decline in the value of these investments had a significant impact on our tax rate in the second quarter given their limited tax deductibility. After adjusting for the impairments and other items, our adjusted effective tax rate for the second quarter was 45%, and on a year-to-date basis, 39%, which is pretty much in line with our 2013 guidance of 38%. Income tax paid in the second quarter was $40 million compared to $14 million in the first quarter. As we've explained previously, taxes paid in the second quarter includes the final payments for the previous year, along with the estimated income tax installment for the current year. Turning to Slide 13. Net cash from operating activities before changes in working capital was $68 million in the second quarter or $0.18 a share. This compares to $74 million or $0.20 a share in the second quarter 2012. The decline was mainly due to lower revenue and higher cost of sales, partly offset by lower income taxes paid. Attributable gold production of 224,000 ounces in the second quarter was up 20,000 ounces from the second quarter of 2012. The increase in production reflects the ramp-up in production at the Westwood plant as we batch processed ore from Mouska and Westwood. The Mouska mine produced 41,000 ounces in the quarter compared to 2,000 ounces in the previous year as the ore was being stockpiled during the refurbishment of the plant. While Mouska is a commercially producing mine, Westwood is still operating at pre-commercial levels and produced 10,000 ounces in the quarter, which is included in the 224,000 ounces. The higher production from the Westwood plant was partly offset by the lower production at Essakane, which was down 19,000 ounces, and Rosebel, which was down 12,000 ounces due to lower grades and throughput. As we said in the first quarter, grades at Essakane this year are expected to be 10% to 15% lower than the life of mine average as we processed the lower-grade softer ore stockpiles in the previous year. Gord will get into that a bit more. Looking ahead the ramp-up of Westwood, we are on track to meeting our annual production guidance. Attributable gold sales of 201,000 ounces in the second quarter lagged production by 13,000 ounces when excluding the 10,000 pre-commercial ounces from Westwood. Mouska accounted for most of the variance as 6,000 ounces were produced late in June and were not sold until the first week of July. The balance was due to the timing of shipments at Essakane and Rosebel. Keep in mind that the contribution from the sale of pre-commercial ounces from the Westwood mine will be netted against capital expenditures. Turning to Slide 16. Total cash costs for all gold mines were unchanged from the first quarter at $787 an ounce. The retroactive adjustment to the power cost accrual at Rosebel had a positive effect on the cost in the second quarter. Excluding the amount of the adjustment related to previous quarters, total cash costs for the second quarter were $838 an ounce. The increase in total cash costs year-over-year is mainly due to higher cost of hard rock processing and expected lower grade from production. To partially offset the impact on costs, mine sequencing at Rosebel was changed to enable access to higher-grade ore. Without doing this, rates would have been lower. On an all-in sustaining cost basis, we reported $1,133 an ounce for the mines owned and operated by IAMGOLD, which is up 13% from the year before. In addition to the reasons just mentioned, the increase reflects the higher sustaining CapEx to support the higher hard rock capacity at Rosebel and Essakane. Including the joint ventures, all-in sustaining costs for the quarter were $1,196 per ounce. In recognition of how IAMGOLD's overall cost of production benefits from the cash flow generated by Niobec, we're also reporting all-in sustaining costs net of Niobec's contribution. By subtracting Niobec's operating margin, net of its sustaining CapEx, our all-in sustaining costs, inclusive of the joint ventures, will drop from $1,196 an ounce to 100 -- by $1,143 an ounce. As you've heard from Steve, the lowering of our guidance for total cash costs and all-in sustaining costs reflects the successful execution of our cost reduction program to date. With 55% of our target met, we are well on track to aligning our cost structure with annual savings of $100 million by the end of the year. Gold margins fell to $586 an ounce in the quarter from $856 an ounce a year ago as our average realized gold price fell $220 an ounce and total cash costs rose 7% over that period. Turning to Niobec. Niobium revenue was $50 million in the second quarter, up slightly from the second quarter of 2012. While production was unchanged year-over-year, a 13% increase in the operating margin was mainly due to improved -- improvements in operating efficiency. Niobec continues to be a very stable business with prices and volumes holding steady. As we previously pointed out, approximately 97% of our 2013 production has been sold forward. This last slide shows our liquidity position at $1.4 billion as of the end of June 2013. The reduction in cash and cash equivalent was expected as we approach the tail end of our capital spending for Westwood and Essakane. Looking ahead, we are confident that by sticking to our plan to reduce costs and limit capital spending, we'll be able to preserve our financial strength. With that, I'll now turn it over to Gord for a closer look at our operations and for an update on our cost-cutting initiatives.
P. Gordon Stothart: Thank you, Carol. I'll now walk you through the performance of each of our operations, along with examples of how we've cut costs at each of our sites. Keep in mind that these are only examples. On average, we have anywhere between 30 to 40 cost-cutting initiatives underway at each of our sites. Looking at Rosebel, lower production is attributed to lower throughput, grades and recoveries as was expected from the increasing proportion of hard rock. Hard rock currently represents about 25% of the ore mix and we expect that to reach about 30% by the end of the year. The commissioning of the third ball mill at the beginning of the second quarter has had a positive impact on throughput, with levels increasing 5% from the first quarter. So we expect to see continued improvement even with the increase in hard rock. Total cash costs of $745 an ounce in the second quarter reflect the benefit of the power cost adjustment Carol referred to earlier. Excluding the portion pertaining to prior quarters, total cash costs were $880 an ounce. As guided in the first quarter, we expect costs to be higher in the second half due to higher maintenance and fuel costs associated with longer hauls and the mining of harder ore. As in the first quarter, mine resequencing enabled -- enabling access to higher-grade material has helped to mitigate cost increases to some extent. With respect to the future plan for Rosebel to address the transition to 100% hard rock by 2016, we expect to be able to announce that at the end of the third quarter. Now that we have a new power agreement for our existing operation, we can incorporate the reduced rates into our feasibility study to determine the optimum expansion scenario, including the optimum grinding and crushing configuration. With the joint venture agreement targeted at the softer ore resources in the surrounding area, we have to acquire additional properties and further delineate surrounding resources before we can assess what work needs to be done to bring those resources into production. In addition to the reduced power rate, which is expected to reduce total cash costs by $50 an ounce, we have multiple initiatives underway to lower costs at Rosebel. We've reduced equipment standby time through better management of shift changes. Through business processes and operating efficiency improvements, we've been able to lower staffing requirements. We've replaced smaller trucks with larger trucks with greater capacity. This is boosting productivity, and the improved technology of the new trucks is reducing maintenance costs and fuel consumption. The frequency and cost of preventative truck maintenance have been reduced through installation of a new oil renewal system. We've also increased throughput to the gravity circuit at Rosebel following the commissioning of the third ball mill and this, in turn, has reduced cyanide consumption. We are increasing drilling and blasting efficiencies by using increased bench heights in the operation. And by improving and redesigning the mine roads, we are improving tire life and reducing haulage distance and maintenance costs. Looking at Essakane, lower production was due to the expected processing of lower-grade saprolite ore stockpiles, along with lower throughput due to the increase in the proportion of hard rock. The drop in throughput reflects, for the quarter, reflects the 5-day mill shutdown in April necessary to accommodate the commissioning of the new pebble crusher and tie-in of the additional CIL tanks related to the mill expansion. With this, we are now seeing a positive impact on recoveries and throughput, even with harder ore blends, and expect production to improve in the second half. As previously stated, the processing of lower-grade softer ore stockpiled in prior years is expected to result in ore grades for 2013 that are 10% to 15% lower than the life of mine average. Stripping continues with the pushback of the main pit. We are stockpiling some harder, higher-grade ore in anticipation of the start of the expanded plant. As we move into hard rock, and we're expected to reach about 90% by the end of 2014, higher grades will mitigate the impact of higher energy consumption required to treat harder ore and bring grades in line with the life of mine average. The plant expansion is on track for the completion at the end of this year, and the project costs are on plan. Cost-cutting initiatives at Essakane include implementation of a transition plan to replace more expats with nationals; the consolidation of contracts for employee transport to and from the site, resulting in a 5% rate reduction; negotiated price discounts from local suppliers at Essakane, including food and security; reduced consumption of energy and steel and the SAG and ball mill grinding process through accelerated commissioning of the pebble mill at Essakane; and the replacement of consultants with in-house technical services team. Looking at the Abitibi, production at the Westwood plant ramped up through the quarter with batch processing of both stockpiled ore from Mouska and ore from Westwood. Recoveries on the Mouska ore were still slightly below plan but offset by a positive reconciliation on the total ounces from the 2012 stockpile. We began processing ore from the Warrenmac zone of the Westwood mine with 10,000 pre-commercial ounces produced in the second quarter. On the Warrenmac ore, we're seeing a lower mining dilution, significant positive reconciliation in grade, and better recovery than planned. The mill continues to produce at planned rates of 2,000 to 2,300 tonnes a day, and we are on track to meeting 2013 guidance of 130,000 to 150,000 ounces on a combined basis from the 2 Abitibi mines. Toward the end of the second quarter, the service hoist at Westwood mine was out of commission due to a software malfunction. The cost for the repair work was covered by warranty and the hoist is back in operation. The impact from this incident was significantly reduced since during the repair period, we were able to use both the Doyon shaft and the Warrenmac ramp to move ore and waste to the surface. The Westwood operation continues to focus on improving development productivity as this is not only key to running a successful operation, but will be key to lowering costs as the operation moves into full production. At Sadiola, operating efficiency continues to improve and mined ore grades exceeded plan for the first half of the year. The 13% increase in throughput year-over-year and the improvement in recoveries, which were up 11%, offset lower grades resulting in a net 9% increase in production. Compared to the first quarter, production was up 26% and throughput, 19%. The portable crushers that have been installed have been effective at improving mill feed performance, especially in dealing with the hard nodes contained within the saprolite in some pits. Lower reagent and maintenance costs, together with increased production, drove total cash costs down 26% from the second quarter of 2012. Looking at Niobec, we had a 7-day planned maintenance shutdown in the second quarter. Production of 1.2 million kilograms of niobium was unchanged from the prior year and from this first quarter although throughput increased 7% from the second quarter of 2012 as was in line with the first quarter. We saw recoveries improved in Q2 versus Q1 although this improvement was somewhat muted by results in June when recovery was sacrificed somewhat to overcome some concentrate quality concerns related to mineralogy. Improving operating efficiencies contributed to higher operating margins compared to last year and the first quarter. With respect to cost reduction initiatives, Niobec is focusing on improving underground development productivity and blasting efficiency. Also, in the converter, the operation has introduced larger melting vessels to improve overall productivity and reduce costs. Now Craig MacDougall will talk about our exploration efforts.
Craig Stephen MacDougall: Thanks, Gord, and good morning, everyone. As announced in the first quarter, we scaled back our exploration programs significantly this year as part of the corporate-wide cost-cutting program. As you saw in an earlier slide, as of the end of June, we had achieved $30 million of the targeted $40 million reduction to our exploration program. This has been achieved through cuts to both greenfield and brownfield exploration programs. To give you an idea of where the most significant cuts are coming from, we've reduced the size of our greenfield exploration teams by approximately 1/3, with most of the downsizing occurring in West Africa, Suriname and Brazil. We've also downsized the exploration team at Côté Gold, where we have reduced or deferred certain elements of both the exploration program and the ongoing pre-feasibility study. We've also scaled back our drilling programs at Mali, Burkina Faso and Suriname. This reflects our decision to reprioritize or defer projects and to place a greater emphasis on resource drill programs, specifically the Boto project in Senegal and the Pitangui project in Brazil. At the same time, we continue working on development work around our existing mines and on select greenfield projects in South America and Canada. So let me give you a brief update on the status of some of these projects. Here at Essakane mine, we continue to advance exploration work on the Falagountou satellite deposits with a goal to begin mining softer oxide and transition ore sometime in 2014, which is about 6 months sooner than originally anticipated. In the second quarter, we commenced and largely completed site evaluation drilling, which will lead to an update of the resource estimate. Additionally, an infill drilling program has been completed on the southeast prospect located about 1.5 kilometers to the southeast of the Falagountou satellite deposit. This prospect is a blind discovery discovered in 2011-2012 under shallow sand cover. The initial results are encouraging and will be evaluated to see if they support the estimation of additional resources. In addition, an agreement respecting the relocation of the affected community has been finalized and the implementation is in progress. In Senegal and Brazil, we continue to advance our 2 key greenfield projects. On July 29, we issued a news release announcing the maiden resource estimate for the Boto Gold project in Senegal. The vast majority of the estimate is in the indicated category, which contains just over 1.1 million ounces with a grade of 1.62 grams per tonne of gold. Estimate includes resources for 5 deposits. A significant proportion of the estimate is derived from the newly discovered Malikoundi deposit, which overall displays higher grades than most of the previously discovered zones. Malikoundi and several of the other deposits are still open along strike and at depth, so we are planning further drilling with the goal of expanding the size of the resource. Although the 2013 drilling program had stopped with the onset of the annual rainy season, we intend to resume drilling if conditions improve in the late fall. Our plan will be to continue advancing the project towards commissioning of a scoping study in 2014. At the Pitangui project in the state of Minas Gerais in Brazil, infill drilling at the São Sebastião project -- prospect continues, and we finally completed mineral resource estimate in the fourth quarter if results remain encouraging. Three kilometers from there, initial assay results from the first-pass drilling on another target have also confirmed the presence of gold mineralization similar to the São Sebastião prospect. This continues to highlight the potential for multiple discoveries. Turning to Côté Gold. While we've deferred certain aspects of the work to be done, the winter drill program was completed as planned and we expect to complete the pre-feasibility study by the end of this year and permitting by the end of 2014. This will be followed by a feasibility study, which we would expect to complete by mid-2015. As for the steps after that, we made it very clear that a decision to proceed will depend on project economics, which will be a reflection of the gold price at the time. Operating on a reduced budget has required that we reassess our exploration projects, deferring some while advancing others with the greatest near-term potential. So it's been a matter of setting priorities. I'll now turn you back to Steve to wrap up.
Stephen Joseph James Letwin: Thanks, Craig, Carol and Gord. Our success at executing on our priorities is what has enabled us to withstand what could have been a much tougher quarter. We operate in a very tough and challenging environment today, so we're going to keep our nose to the grindstone and do what we have to do. We will continue to cut costs. We will be disciplined about capital spending. The Essakane plant expansion will be completed by the end of this year and on budget. Westwood is ramping up well. And we can look at a future for Rosebel with lower power rates and access to softer rock and potentially higher-grade ore. So for all of these reasons, on Slide 30, I'm confident our cost structure will continue to improve. That is why we've lowered our cost guidance and I intend to see that we meet our guidance this year. So let's open it up for questions.
Operator: [Operator Instructions] And our first question comes from Michael Scoon.
Michael A. Scoon - Stifel, Nicolaus & Co., Inc., Research Division: First question on Westwood. Just kind of a bookkeeping item here. Looks like the capital spending to date has been about $95 million and the guidance for the year, if I'm not mistaken, is $100 million, which would imply a pretty minimal spending in the second half. Am I thinking about that correctly or am I mistaken?
Carol T. Banducci: The way that you have to look at it, Mike, is the fact that we're going to be producing and selling ounces, but the revenue and the costs get netted against the capital until we actually reach commercial production. So you're not wrong.
Michael A. Scoon - Stifel, Nicolaus & Co., Inc., Research Division: Okay. So the $100 million is net of revenue.
Carol T. Banducci: Exactly.
Michael A. Scoon - Stifel, Nicolaus & Co., Inc., Research Division: Okay, understood. And then secondly, on Rosebel, what are the -- can you give me any idea what the conditions are with the new power rate agreement as far as when you'll start to realize a lower rate? Is there an investment hurdle that you have to clear? I understand it's a win-win for both you and the government, but I'm just understanding the structure and kind of timing of when those power rates will begin to drop.
Stephen Joseph James Letwin: Well, on -- it's Steve Letwin, Michael, on 13 megawatts of our -- we're currently consuming around 30 megawatts. So on 13 megawatts -- so the 30, we're going to be paying basically $0.09 a kilowatt hour, which is extremely attractive. And then on the aggregate amount that we're looking at, we're trying to get to a blended rate that's around $0.14. So the savings for us is significant. What we've agreed to do is we're going to invest in some of the power infrastructure in Suriname. That would be about a $50 million investment over the next couple of years. We're looking at a solar facility, for example, that's probably going to be at our mine site and potentially some thermal generation capacity. The economic return on that is obviously extremely attractive for us, given that we're saving somewhere in the order of about $22 million a year on operating costs. So the payback is very quick. And over a 10-year mine life, the attractiveness of the investment is very high. So this is just an outstanding opportunity for us at Rosebel to, A, cut our costs and, B, take advantage of the joint venture agreement that we signed, which gives us a 45-kilometer radius around our mill, accessing a lot more deposits that are lower or softer rock and, hopefully, higher grade than what we see in our current of mineral agreement. So we talked about the restructuring, the reinvention of Rosebel, and I'm extremely pleased at the progress we made there. I'm going down there again. This will be my 7th trip. And you need to be on-site to do it. You can't do it over the phone to push very hard to get the satellite deposits up and ready to move into our mill. Craig MacDougall's coming down with me, and we're going to be taking a hard look at how we can accelerate that. So it's all very, very positive. And as we said in the script in the call, we'll be taking a look at what we do with Rosebel going forward, but it's obviously a much more attractive mine site than it was 6 months ago.
Michael A. Scoon - Stifel, Nicolaus & Co., Inc., Research Division: Sorry, just to confirm here. So on the total consumption of 30 megawatts, today, you're paying around a $0.20 per kilowatt hour.
Stephen Joseph James Letwin: Right, exactly.
Michael A. Scoon - Stifel, Nicolaus & Co., Inc., Research Division: And you're targeting $0.14, ultimately, but you're not realizing $0.14 this quarter. Is that right?
Stephen Joseph James Letwin: No, we're actually going to be lower than that. So -- because we got $0.09 at 13 megawatts and probably -- yes, it's going to be lower than that. Stothart's shaking his head at me. So we have 13 megawatts at $0.09, and then the others 17 megawatts, I think, is sitting at around $0.16 to $0.20. So it's going to be in and around the $0.14, maybe a little bit lower. But the end goal is on -- if you look at an expansion scenario of Rosebel, you're looking at probably 42 megawatts. And the idea and the goal and, certainly, what we plan to move ahead with is about a $0.14 all-in rate, which is -- as I said earlier, is extremely attractive for us. And keep in mind that anything that comes from the area outside the current mineral agreement is at $0.11 a kilowatt hour. So if we start bringing in deposits outside the current mineral agreement, that'll blend with the $0.14, at $0.11. So it should bring the overall costs even lower. So it's -- again, it's very, very attractive for us.
Operator: And our next question comes from David Haughton.
David Haughton - BMO Capital Markets Canada: Could I just follow up on Westwood? You had 10,000 ounces coming out from that project. What kind of tonnage and grade were you able to achieve in a pre-commercial condition?
P. Gordon Stothart: From Westwood?
David Haughton - BMO Capital Markets Canada: Yes.
P. Gordon Stothart: The initial ore coming out of Westwood -- I don't have the tonnage figures, but the ore that we're seeing there is coming out in the neighborhood of 7 to 9 grams so far. We -- the Warrenmac deposit's a little higher grade at the bottom and decreases in grade as we go up. So we're mining it bottom up, and that's what we're seeing right now.
David West - Salman Partners Inc., Research Division: Okay, because -- so that puts you pretty much in the range of what we would've expected or at least put on modeling for Westwood in the longer run and...
P. Gordon Stothart: Yes, I said -- I mean, the only qualifier I'll throw at you is that Warrenmac is a little bit different metallurgically from the bulk of the Westwood deposit. That being said, it's been -- it has been performing very, very well in the plan.
David Haughton - BMO Capital Markets Canada: And you're happy with the ground conditions and the way that the stokes are behaving and all of the other things that would give an indication as to how it would go in full production?
P. Gordon Stothart: Yes, definitely. The dilution we've seen so far on Warrenmac is less than 50% of what we originally planned.
David Haughton - BMO Capital Markets Canada: Okay. Now just looking back to Rosebel, if I may. You've got your incremental expansion underway. We hear that it tied in, in recent months. It's very hard for us to judge as to what the throughput may be, given we're not quite sure of the blend. But what would you think would be an ideal throughput rate to think about until you get to that 100% hard rock? And then once you're at the hard rock, what would you be targeting?
P. Gordon Stothart: I mean, the target for the hard rock is the subject of the feasibility study we're doing right now. We have looked at a number of different configurations for the crushing and grinding circuit. Each of them was a different outcome. Prior years, we had talked around at a number around 14 million. We're really trying to find -- sorry, Steve is -- we're doing some math here in the background. Steve -- I'm sorry. We had previously talked around 14 million as the target. I do not think we're going to be at that -- quite that level on a 100% of hard rock. We're trying to find that sweet spot within the different feasibility configurations we've looked at. Obviously, the new price that -- the new power price that we've recently negotiated really comes to bear as to where that sweet spot will end up. Between now and then, we'll continue to do -- try and keep it as much as possible with a third ball mill in place now in the 12 million to 13 million tonne a year range, awaiting the increasing hard rock as we move forward.
David Haughton - BMO Capital Markets Canada: Okay. And I guess a similar kind of question for Essakane. Looking at it moving forward, a pretty good throughput number, given that you had 5 days downtime in the quarter. Should we be thinking about a slightly better run rate on a daily level after adjusting for that 5 days down in the quarter?
P. Gordon Stothart: It was a good run rate, and we are seeing some positive signs with the hard rock. The pebble crusher -- the impact of the pebble crusher on the efficiency of the carbonation process is probably better than we had originally designed. And keep in mind, our designs tend to be pretty conservative. If you look back at our performance about -- almost every expansion we've done over the past 5 years, every one of them has exceeded nameplate in the 10% to 15% range. I'm not going to hang my hat if that's where we're going with Essakane yet, but the guys tend to be pretty clever in overachieving.
David Haughton - BMO Capital Markets Canada: All right. Because just doing that quick adjustment, it looks like you could've been around, on average, about a 30,000 tonnes a day mark after the downtime.
P. Gordon Stothart: Even better than that when you take out the full availability yet.
David West - Salman Partners Inc., Research Division: Okay. So that's good results. And now the last question, just over to Senegal. What's your current thinking for Boto? Can you see this as a standalone or a bit too early, or what's your general feeling?
Stephen Joseph James Letwin: Look, I think right now, it's a bit too early. That's our main resource on that project. But we have drilled results that are now beyond the resource estimate, and we're really targeting to grow the resource. And we've always stated that our exploration thresholds on projects like that are aiming at 2 million ounces, and we like to move it as close to that as we can get it. And I think for there, it starts to look standalone. So that's the challenge for the exploration team going forward.
David Haughton - BMO Capital Markets Canada: And by standalone, would you be thinking here about a fairly simple heap leach kind of situation, or would you have some crush and grinding in front?
Stephen Joseph James Letwin: It'll be crush and grinding. It's largely our hard rock resource.
Operator: And your next question comes from Anita Soni.
Anita Soni - Crédit Suisse AG, Research Division: Just following up on David's question about Essakane. Would the lower-grade saprolite softer rock would not have had an impact on the throughput levels? Like is that one of the factors on why you reached that 30,000 tonne per day processing rate this quarter?
P. Gordon Stothart: Yes. It certainly is one of the factors. However, I can say that since we've commissioned the pebble crusher, we've actually been running at ore blends that are harder than we originally planned and still managing to break through the sort of the 30,000 tonne a day instantaneous throughput. Yes, it's a factor, and at the same time, we're seeing better performance than planned.
Anita Soni - Crédit Suisse AG, Research Division: All right. And then in terms of the grade outlook for the rest of the year. I know you said that it's going to about 10% to 15% below life-of-mine grades. When could we see that return to the life-of-mine grade level?
P. Gordon Stothart: I think we've said to basically look for that next year.
Anita Soni - Crédit Suisse AG, Research Division: Of complete jump, 10% to 15% over what you're processing right now?
P. Gordon Stothart: Well, it won't be instantaneous. But on average basis for the year, it's the numbers to use.
Anita Soni - Crédit Suisse AG, Research Division: Okay. And then in terms of the strip ratio for Rosebel. What would that look like life of mine, both capitalized and expensed?
P. Gordon Stothart: Well, because we're going through the feasibility study right now and we're looking at a number of different scenarios, I really don't want to land on a specific strip ratio for Rosebel as there's a lot of factors and that will be one of the outcomes of that study.
Anita Soni - Crédit Suisse AG, Research Division: Okay. In terms of the grades at Rosebel, this quarter, I know there were a number of factors going into it. There's seasonality that came into play. There's, I guess, the fact that you were trying to re-sequence to get higher grades. How does that look? How does the grade compare to prior grades as you get into the higher -- get into the harder rock? Is there some kind of correlation between the hard rock and the higher grades?
P. Gordon Stothart: There will be over time. Because it's hard rock and it requires more energy and, therefore, more money, it carries a higher cost rate. So yes, you will naturally see, as we move into harder rock, some reduced cost rate. But there's a lot of different factors. It's obviously, strip ratio and, as you mentioned, some saprolites and other things. I think the current forecast for the remainder of the year has this seeing slightly higher grades in the second half than we saw in the first half as part of the current planning. But in the medium term, as we get into harder rock, it'll -- when we're in a harder rock, it tends to have higher grades. That being said, we're mining pretty close to the life-of-mine average reserve grades right now. If we look at the full life of mine, there are some stockpiles of lower grade ore that are included in that life-of-mine average. Those come out, really, in the last years of operations or the last year of operation.
Operator: Our next question comes from Pawel Rajszel.
Pawel Rajszel - Veritas Investment Research Corporation: I've got a couple here. What was the power rate during Q2 at Rosebel?
P. Gordon Stothart: During Q2, the average would've been in the neighborhood of around $0.14, $0.15.
Stephen Joseph James Letwin: The agreement that we reached on the 13 megawatts was basically starting January 1. So we got the benefit of the $0.09 on the 13 megawatts retroactively.
Pawel Rajszel - Veritas Investment Research Corporation: I see. So the accounting -- the accrual you're discussing in the financials, in the MD&A, that's not an accounting accrual, that's just retroactive...
Stephen Joseph James Letwin: We accrued at $0.15, $0.16. And then when we negotiated the agreement, it resulted in a reversal of their accrual and adjustment to the $0.09. So we got a positive result from that.
Pawel Rajszel - Veritas Investment Research Corporation: So just to clarify. That accrual is a cash -- an actual cash impact, this was not an accounting...
Stephen Joseph James Letwin: Well, we basically saved the cash that we would've had to pay at $0.15 , $0.16. That's correct.
Pawel Rajszel - Veritas Investment Research Corporation: Great, okay. And then lastly, when you're talking about the G&A reductions, you've realized $3 million out of $6 million. But when I look at the income statement, the G&A line basically hasn't changed and neither has the details, when you drill down into the note. Can you discuss maybe how to reconcile that and how that works?
Carol T. Banducci: Yes. I mean, when you take a look at our G&A year-over-year, and you've got to recognize that we would've budgeted and planned for some increases with respect to just general salary increases and others -- just general costs that we incurred. So in fact relative to our plan, we have achieved a $3 million reduction relative to where we expected it to be.
Pawel Rajszel - Veritas Investment Research Corporation: I see. So you basically incorporated an inflation rate of some sort, and you're basically not incurring that inflation.
Carol T. Banducci: Correct. Well, and there's other costs. It's more than just inflation. There are other costs. We're scaling back on outside consultants. We're scaling back on our travel expenses. We've lowered -- our stock-based compensation is lower. So there are number of areas that we have targeted at the corporate level to drive our costs down, and so we are on track relative to what we had planned earlier in the year.
Pawel Rajszel - Veritas Investment Research Corporation: Great, okay. So basically -- because year-to-date, I notice those numbers are higher than they were last year, so I should expect those numbers to start coming down in the second half.
Carol T. Banducci: I mean, we did provide some guidance in terms of where we expect to be with our G&A. We expect it to be down $6 million relative to our plan. And like I said, we would've factored in some cost increases or inflation and other activities that we are ceasing to do or reducing.
Operator: And our next question comes from Dan Rollins.
Dan Rollins - RBC Capital Markets, LLC, Research Division: Gord, just a quick question for you on good old Sadiola. I know you're in a bit of a stripping phase there right now. I was wondering when you expect that high incremental stripping period to be over? Is that this year, or is it dragging to 2014?
P. Gordon Stothart: Dan, it really, really depends on how we proceed with the Sadiola sulphide project. If we go to the Sadiola sulphide project, there's a couple of years of fairly high stripping involved with that, a lot of that capitalized. Under the plan -- without that, we see seasonal variation. And typically, how Sadiola sets themselves up is during sort of the second half, the second quarter and the first half of the third quarter, which is their rainy season, the stripping ratio goes through the roof. They really cut -- curtail ore mining in the bottom of the pit. But if you go quarter-by-quarter at Sadiola, it's tough to see. Generally, there are a couple of pushbacks that are still underway at Sadiola. I think without expansion, the big stripping portion for those pushbacks will probably complete at the end of next year.
Dan Rollins - RBC Capital Markets, LLC, Research Division: Okay, perfect. And then just on -- I know the expansion is dependent on a partner and, more likely, a much higher gold price. But assuming gold prices were to rally here and your partner was willing to go, when do you guys need -- actually need to make a formal commitment on this to actually be able to do it? And when's sort of the drop dead date where this project no longer makes sense to go ahead because you've just basically -- you're running the mine down to nothing?
P. Gordon Stothart: Internally, if we don't make a decision within the next 6 to 9 months, we will see a significant break in production -- in the production profile.
Dan Rollins - RBC Capital Markets, LLC, Research Division: Okay, perfect. And then maybe, Steve, just on Niobec. I know you're missing a couple of the digits from your sales numbers, so getting an implied realized price of niobium is difficult. But what are you seeing with respect to spot prices on new contracts? Are you still seeing them around that $40 a kilogram, or have you seen a little bit of pressure coming off on that?
Stephen Joseph James Letwin: No, we're holding well, Dan. I mean, the world economy continues to struggle, as you know. And even though China' is being a slowdown, our niobium market really doesn't depend right now in China. In the future, we're hoping that the saturation into China would increase. But right now, most of our sales are in Europe, in the U.S., some into China. So we really haven't seen our contracts' spot prices be hit in any material way, and we're on budget for the year. And we brought the marketing, as you know, in-house under Carol, and that's working out very well for us.
Operator: And our next question comes from David Olkovetsky.
David J. Olkovetsky - Jefferies LLC, Fixed Income Research: The first question -- I heard Carol say you guys have sold some gold forward, I think. What was the amount that you had mentioned?
Carol T. Banducci: I'm sorry, we didn't sell any gold. Niobium, we sold niobium, yes, not gold....
David J. Olkovetsky - Jefferies LLC, Fixed Income Research: Okay. Could you please just repeat that amount? Can you just repeat that amount?
Carol T. Banducci: Yes. We sold about 97% of our production that we planned for this year already, with respect to Niobec. So that's been sold forward into the marketplace. But we don't go beyond the sort of current fiscal year, so we sold it for 2013 with our customers.
David J. Olkovetsky - Jefferies LLC, Fixed Income Research: Okay, and sorry about the confusion.
Carol T. Banducci: Okay.
David J. Olkovetsky - Jefferies LLC, Fixed Income Research: And then as it relates to your 2013 CapEx, I noticed you increased it a little bit to $690 million. Can you guys just walk us through your thoughts regarding 2014 capital expenditures, please? And if you could separate the...
Stephen Joseph James Letwin: Probably a bit -- yes, probably a bit early to do that, and the small increase was tied to Anglo and Sadiola, which we don't have much control over, as you know, unfortunately. But it's a bit early to be talking about 2014. But obviously, with Essakane done and Westwood complete, it's going to be significantly reduced from where it is. I would probably say, at least, 50% reduced from where it is, if not more.
David J. Olkovetsky - Jefferies LLC, Fixed Income Research: Is that on a total capital expenditure basis or on just a developed...
Stephen Joseph James Letwin: On an aggregate basis, yes.
David J. Olkovetsky - Jefferies LLC, Fixed Income Research: So can I safely assume that maintenance will remain somewhere in the $300 million range, or should that come down as well?
Stephen Joseph James Letwin: I think that -- I think in total, we're in that range.
Carol T. Banducci: Yes. And just keep in mind, we've got a fairly significant capitalized stripping program at Essakane. So that is a factor and -- as well as the underground development that we do at Westwood. So that would be included in the numbers that Steve just noted.
David J. Olkovetsky - Jefferies LLC, Fixed Income Research: Okay. And then what's the minimum liquidity level at which you're comfortable? And can you help us think about when you would anticipate hitting sort of a lowest level of liquidity, given your high level of CapEx this year, given your current expectations for revenues at, say, maybe $1,300 or $1,350 an ounce?
Stephen Joseph James Letwin: Well, again, we do have a very strong cash position, and we want to maintain a healthy balance sheet. So we're going to be very careful not to be drawing down any of our debt to fund projects. So I would just tell you that we're going to do everything in our power to make sure that our liquidity remains healthy and that we don't put the company in any kind of tenuous position because we start to increase our debt facility. From time to time, you may have to dip into it depending on what your working capital requirements are. But for the course of the year, we're trying very, very hard to manage to a position where we don't have to draw on that revolver. So that's really what our goal is, to keep the company healthy and use our internally generated cash flow to fund our capital and pay our dividends, and that's what our overall focus is.
David J. Olkovetsky - Jefferies LLC, Fixed Income Research: Is there sort of a minimum level? Is there like a number you could point to, say, $700 million or $500 million that you don't want to dip below in terms of total liquidity?
Stephen Joseph James Letwin: I don't really think we focus on that. I don't really want to quote a number. That's not something we published.
David J. Olkovetsky - Jefferies LLC, Fixed Income Research: Okay, that's fine. And then if I could just ask one more. Given the new power agreement in Suriname and expectations for a forthcoming feasibility study, can you give us a sense as to what expenditures may be for that project or for that, I guess, incremental project maybe in 2014 or '15, if you got a kind of a ballpark?
Stephen Joseph James Letwin: I think Gord mentioned we're in the throes of doing the feasibility with multiple scenarios, so not really ready to talk that through yet.
Operator: And our next question comes from Zach Sanders.
Zach Sanders: I think you probably answered most of them, but a couple of follow-ups. One relates to the loans that I think you're making to the JVs in West Africa. Just wondering what the expectations are for that going forward.
Carol T. Banducci: As we advanced Sadiola $20 million this quarter, and that was to help support the capitalized stripping program that they have there, as well as to help fund some of the long lead items that we've acquired related to the expansion and there's a term to it, it's based on LIBOR plus 2, and we're expected it to have that repaid no later than 2016. So that's the arrangement that we have with Sadiola. And as Gord pointed out, we're currently looking at our plans around Sadiola and as to how those advance, and that subsidiary, that joint venture arrangement will require funding.
Zach Sanders: And I think I saw in the note, one of the previous loans you had netted losses against the balance. Would that be the same with this loan as well?
Carol T. Banducci: No, that was specific to Yatela, and Yatela is close to its end of life. And we had a -- advanced them some funds earlier, and it's based on the life-of-mine planned and the asset retirement obligations that we see associated with closing down that site. And just reviewing the cash flows, we don't expect to get recovery on that receivable. So that's what that relates to.
Zach Sanders: Understood, understood. My next question then, and I know you've talked to this, but maybe this is just a little more detailed question. But the cash cost guidance, that was reduced for this year. I think midpoint to midpoint is about $73 per ounce or so. I was wondering if you could bridge that change. I know there's some of the savings from the $100 million cost-savings program, but not all of that would be included in that number. I mean, there's the power changes. But is it just a combination of those 2?
Carol T. Banducci: That's correct.
Zach Sanders: And then lastly, and I'll leave it here, is -- I think the previous questions relating to liquidity. Just to follow up on that. You do have a pretty good liquidity balance. Sounds like CapEx is being reduced into next year. And this is probably premature, but you talked about capital allocation discipline. I'm just wondering what type of environment it would take for you to start thinking about maybe buying back your bonds, I think, which have now traded into the mid-80s as opposed to growth spending, if that's even something that's been discussed.
Carol T. Banducci: Yes. I mean, not at this time. It wouldn't make sense for us to do that. We are able to take advantage of a very attractive environment to secure $650 million of debt. And just based on our business plan, it would make sense for those to remain outstanding, and at some time, it makes sense to extend those. So we're really quite pleased with what we've been able to achieve with -- in managing our capital structure. And when you take a look at it, it remains fairly conservative.
Bob Tait: Okay, thank you. That's all the time we have for questions today. If there are any follow-up questions, obviously, I and my colleagues in IR will be available to take them, and we'll track down answers for you. I wanted to point out that on November 7, we are planning an analyst day this year. We have checked schedules. I don't think anybody else is reporting third quarter that day. So I think that day may work in people's schedules. So please mark that on your calendars and more details will follow in the intervening time. Thank you for joining the call today. Thank you.
Operator: And thank you for attending today's conference. You may now disconnect.